Operator: Good day and welcome to the Q3 2015 Allot’s Communications Limited Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Rami Rozen. Please go ahead sir.
Rami Rozen: Thank you very much and thank you all for joining us on our Third Quarter 2015 Conference Call. My name is Rami Rozen, and joining me today are Allot’s President and CEO, Andrei Elefant, as well as our Chief Financial Officer, Shmuel Arvatz. The press release announcing our third quarter result is available on the Investor Relations section of our website at www.allot.com. All results and expectations we review on the call are on a non-GAAP basis, unless otherwise described as GAAP. Non-GAAP net income and non-GAAP net income per share excludes stock-based compensation expense, revenue adjustments due to acquisitions, expenses related to M&A activity, amortization of certain intangibles and inventory write-offs. Please note that all earnings per share amounts are on a fully diluted basis. A reconciliation of each non-GAAP measure to its nearest GAAP equivalent is available in the press release containing our third quarter results. Before we begin, let me remind you that certain statements made on the call today may be considered forward-looking statements, which reflect management’s best judgment based on currently available information. I refer specifically to the discussion of our expectations and beliefs regarding our pipeline and funnel of potential future business. Our actual results may differ materially from those projected in these forward-looking statements. Certain material factors or assumptions also apply to drawing the conclusion or making the forecast or projection as reflected in such forward-looking information. I direct your attention to the risk factors contained in the Annual Report on Form 20-F filed by Allot with the U.S. Securities and Exchange Commission and those referenced in today’s press release, both of which detail factors which could cause our actual results to be materially different from those projected in the forward-looking statements. With that, I would now like to turn the call over to Andrei.
Andrei Elefant: Thank you, Rami, and thank you all for joining us today. In today’s call, I will highlight Allot’s results and share with you some of the achievements in the third quarter. Before I dvelve down into Q3, I would like to mention the announcement we recently made for Q4 and expansion deal for over $10 million. Its mobile operator is an existing customer who for the last few years hasn’t been a 10% one. Combined with the improved bookings of Q3, we are entering Q4 with a positive momentum and plan to recognize revenues from this order in 2016. After I complete my part, I will hand over the call to our CFO, Shmuel Arvatz, for a short review of our financial performance for the quarter. During the quarter, we continued to execute on our growth strategy. First, the $8 million win we announced a month ago continues to demonstrate the value added services and benefit of our installed base. Second, we are encouraged by the increasing booking of our security products, and third, as I said in the previous call we continue to maintain tight control on expenses and intend to continue increasing efficiencies across the business. Third quarter results came in at $23.5 million and the net loss of $0.7 million or $0.02 per share. Looking at the topline, we guided for revenues of $100 million to $105 million for the year. From our experience it shows that Q4 revenues are typically higher than Q3 so we believe that we are on track to mid guidance. Now for the bottom line. Both the efficiencies we’ve implemented and our high gross margin has positively impacted the bottom line and we believe that we will gain more leverage going forward. Growth margin was a healthy 77% up 3% from last quarter and other strong validation of our vast strategy and business direction. And on top of that, we had a strong cash flow of $2.9 million. Now let’s look at our bookings. In the last call I said that during Q2 bookings picked up. In Q3, we continue to see bookings trending up despite the longer sales cycle which I described in the last call. Book-to-bill was above one, this quarter we saw a nice mix between new and existing customers. We are winning new customers that have now extended vast offerings with the focus on security and monetization. For example, we won a new customer where we were asked to replace both the security as a service solution and the policy control vendor based on our superior combined solution. This seven digit deal is part of our strategy to increase our installed base achieving greater stability in revenue. In addition, of winning new customers we demonstrated our ability to both cross sell and upsell into our installed base. During the quarter, we landed an $8 million deal as part of the revenues recognized during the quarter. Large deals reached 18 in total, four of which represent new customers; 7 came from mobile operators, 7 from fixed line service providers and 4 from public and private cloud operator. We saw some more cloud deals this quarter than in previous quarters and we intend to continue pursuing this sector. In the value added services businesses, we continue to see significant activity during the quarter. VAS represented 38% of overall bookings continuing deposit trend. Year-to-date, our VAS business represents about 40% of our overall business compared to 31% in all of 2014. To remind you, our VAS category is divided into four groups; security, monetization, analytics and optimization. VAS continues to be our main business driver and more specifically the security and monetization categories. In Q3, we substituted monetization accounting for 80% of VAS booking, with security alone accounting for 55%. This continues to reflect the trends that we are seeing in the market and validates our plan to capitalize on the growing demand for these services. Mobile and cloud operators use our security as a service solution to grow their ARPU, improve customer loyalty and significantly improve the value of their brand. Now to NFV. Every year this month we announced our service gateway virtualization and natural evolution of our service gateway, which introduces a new framework for fast and efficient rollout of new services in an NFV network. This new offering is based on our innovative technology enabling mobile operators to further accelerate rollout of new services, improving their competitive market position. We continue to work closely with dominant layers in this ecosystem as we are recognized as a significant value add, a great example of the service gateway virtualization benefit is demonstrated in the collaboration we are doing with CheckPoint, which we announced earlier today. We partnered and demonstrated security as a service implementation in a mobile NFV network allowing mobile operators to deliver quickly and efficiently security services to their customers. Though we are not yet seeing significant revenues from NFV, we believe that once NFV will be widely adopted by operators we will be well positioned to capture significant market share accelerating our growth. Moving to OpEx. As I said, we continue to maintain tight control on expenses and intend to continue efficiencies across the business. As part of our overall strategy and in line with market trends of our legacy business, we are streamlining results within that area. We continue to increase our focus and shift resources to faster growth areas such as security and monetization thereby continually improving efficiency. This results in a 9% improvement in OpEx compared to the same quarter last year if enough to integrating the Optenet team. With regards to buyback, the authorization of our buyback plan is in process and we hope to importantly show it here. Before summing up, I will turn the call over to Shmuel Arvatz for a review of our financial report.
Shmuel Arvatz: Thank you, Andrei. We are pleased with the progress we’ve made in the third quarter in terms of revenue growth and higher booking level compared to the second quarter. We improved our gross margin as well as generated positive cash flow from operations. Before I begin with doing the financial results for this quarter, I would like to inform everyone that on this call, unless otherwise noted I will refer entirely to the non-GAAP financial measure when discussing operational results. Non-GAAP financial measures differ in certain respects from the generally accepted accounting principles and exclude share-based compensation expenses, revenue adjustment due to acquisitions, expenses related to M&A activity, and amortization of certain intangible assets. Turning to our third quarter results. Revenue for the quarter was $23.5 million, down 22% year-over-year and up 9% sequentially. As a percent of this revenue sales in the Americas accounted for 16%, EMEA 38% and Asia Pacific 46%. On a constant dollar using the currencies as prevailed in the third quarter of 2014, revenues were negatively impacted by about $1 million. Book-to-bill ratio in the third quarter was above one. Product revenue for the quarter accounted for 64% of revenue while service revenues were 36% compared to 69% and 31% split during the third quarter of 2014. Moving on gross margin for the quarter was particularly strong at 77% of revenues compared to 75% during the third quarter of 2014. The increase is a result of more favourable product mix as gross margin may fluctuate on a quarterly basis as we continue to view a typical range of gross margin at 74% to 75% of revenues. Operating expenses during the quarter were $17.9 million, down $1.7 million compared to the same quarter last year and down $1 million sequentially. The year-over-year reduction in operating expenses was mostly due to efficiency measures implemented decreasing topline resulting in less variable expenses and the weakening of main currencies against the U.S. dollar. During the quarter, we incurred a financial loss of $892,000 compared to financial income of $224,000 in the same quarter last year. The financial expenses in the quarter resulted mostly due to foreign currency exchange rate differences. Our headcount by the end of the third quarter was 513 employees compared to 517 employees as of the end of the second quarter of 2015 and up 58 employees from the end of 2014 mainly as a result of the acquisition of Optenet. Net loss for the quarter was $741,000 or $0.02 per diluted share compared to net profit of $3.1 million or $0.09 per diluted share in the same quarter last year. Turning to the balance sheet, our cash reserves comprising of cash, cash equivalents and investments, totalled $122.8 million, up $2.2 million sequentially. We recorded $2.9 million of cash flow from operation. DSO was 86 days, down from 104 days in the previous quarter which is in line with our typical range of 75 to 90 days per quarter. As to the buyback plan, it was submitted to the court approval and we hope to update you soon. To conclude, we continued our recovery in booking and have started -- the fourth quarter very strongly. We are pleased with many of the financial metrics achieved during the quarter such as gross margin, OpEx level, cash flow from operations and the increase of our cash balance. With that, I will turn the call to Andrei.
Andrei Elefant: Thank you, Shmuel. To summarize, during the quarter, bookings continued to grow. We are closing large deals with existing customers and letting new customers which validate the value for offering. We continue to see our security solutions at very attractive and gaining momentum with our extended installed base. As I said we expected to become a more meaningful part of our business in 2016. With that, I will open the call for a Q&A. Operator?
Operator: Thank you. [Operator Instructions]. And we’ll take the first question from Joseph Wolf of Barclays. Please go ahead. Please go ahead Joseph, your line is now open.
Joseph Wolf: Can you hear me?
Operator: We can.
Andrei Elefant: Yes. Hi, Joseph.
Joseph Wolf: Good morning, good afternoon. Could you elaborate on the press release with CheckPoint, -- its collaboration but I’m wondering if you can [Indiscernible] go-to-market strategy would be, is that through CheckPoint, is that the operator, how would that be sold and what kind of timeframe do you have for revenue on that collaboration?
Andrei Elefant: Thanks, okay. So I would like to divide my answer into two. First, a more general statement, part of our strategy and being able to expand our reach we are investing more in building strategic partnerships with living players in our domain. And the latest release that we did this morning is part of that effort. We also announced earlier in Q3 some joint work that we are doing with HP and we had some other in process. So, overall we are investing more time and more effort to build a strong partnership and go together to the market with some of the leading players and I can tell you that they are also finding our solution very interesting and they are with a lot of benefit to complete their offering in the market that we are operating in. So this is a more general effort that we are doing and this is a big part of our strategy. And specifically for the partnership and for the work that we are doing with CheckPoint and specifically to what we announced this morning, we are working with them on this demonstration to build an offering that is targeting NFV network and this is part of some other work that we are doing with CheckPoint. In general the idea here is to build a combined solution which provide a greater offering to the mobile operator allowing them to run security as a service more efficiently and having your [Indiscernible] out of these services. And in terms of both markets it’s a redirectional effort, so either we or our partner can bring us to market based on the opportunity that we see and the recent overlap in the solution we complement each other very nicely.
Joseph Wolf: Okay. So but they have to come together in the sale -- in the end for you to sell about -- in the end for you to sell this the operator has to buy both CheckPoint and a lot for an optimal solution or they could also go to different security vendor?
Andrei Elefant: It can go with any security vendor and of course with the partners that we have -- we have a tighter integration and some additional benefit. But the concept of the service gateway virtual addition allows the almost any vendor, any solutions running and end of the environment and expedite the integration effort and as a result of that they have rolled out of the service in a mobile NFV network.
Joseph Wolf: Understood. Question on the continued [Indiscernible] value added services. Just as you think about the core DPI and the VAS was that kind of merging together, can you think about them separately anymore. And are you experiencing any changes in the way your customers are ordering in terms of as a service of the fleet so that the [Indiscernible] of the revenue in a way it runs through your P&L is going to change overtime and how does that impact the backlog and the bookings that you are talking about ?
Andrei Elefant: So let’s start with the first part. We had some projects that the solution is combined. Of course there are some benefits and advantages in combining the security service with our service gateway as we have already done the integration with many components in the operator's infrastructure like policy control and charging and so forth. However, we do have projects on the security side where we are selling only the security solutions, because it can run also as a standalone offering deployed in mobile environment or cloud environment. This is in order to answer the first part. The second part, how we structure the deal? We're moving towards the more TEM licenses, mainly on the security offering, the security of the service offering. And we already have some projects in some of the bookings that we are doing or using this new pricing model. It is not yet material enough to decide the bookings. I believe that some time in the future we'll start to give stronger indication of the ratio of those types of bookings from the rest of the book.
Joseph Wolf: That's helpful. And then just finally, if we look at the absolute, what is the best way to think about the OpEx going forward. You're controlling the costs. Should we be looking at that as a percentage of the revenues -- revenues going up or for the near term can we look at the absolute dollars is kind of the best case without much growth in its expenses?
Andrei Elefant: I think the low OpEx has some – of course has some relation to the relatively lower revenue. However, some of the measures that we implemented, we are going to benefit from them also when revenues will grow. What we have done is we moved resources and efforts from growth – from non-growing businesses to growing businesses. And we believe that the investments that we are doing now in those growing areas will result in the growing of that business without the need to continue to do have investment they're going forward. So, there is some correlation with the revenues, but I believe that some of the efficiencies that we did will help us to gain greater leverage going forward.
Joseph Wolf: All right. Thank you.
Operator: Thank you. We'll take the next question from James Kisner of Jefferies.
James Kisner: Hey. Thanks for taking my question. So, I guess I was hoping first to ask you about the $10 million order that you mentioned with the mobile operator, can you talk a little more about the application, perhaps also talk about, is it for specific geography and if it is their potential for expansion beyond geography?
Andrei Elefant: Hi, James. You're referring to the one that we just announced in Q4.
James Kisner: Yes.
Andrei Elefant: Okay. So, the main applications there are monetization and analytics. This is a very large mobile operator. They have dozens of, millions of subscribers running an LTE network and they want to use our platform in order to deliver different services. They started with some charging monetization application and some analytics application. However, we are continuing the discussions with them on other services including security services. However, this hasn't material yet to frame order.
James Kisner: Okay. That helps. So, your book-to-bill obviously improved this quarter. How much have you talked about the environment in general. We're seeing a lot of new comp up companies guide down in Q4. There's obviously a lot of concerns about macroeconomic weaken it's globally. I'm just wondering can you talk a little more about kind of the environment where you're seeing globally and I guess sort of related to that, back in July you said you can return to growth next year. Do you still think that?
Andrei Elefant: Yes. So, as I said in the end of Q2, we said that the first of the year we experience longer sales cycles and I have to say that we are not back into the levels that we expected to see end of last year, but we definitely see an improvement for our business versus the way that we started the year. So, in general we continue to see that sales cycles take longer. It takes us also longer to close deals. However, I think that our focus changed over there last 18 months. And I believe that in the areas where we see the growth situation is better than in the markets that we called our legacy business which is policy control and traffic management.
James Kisner: So, I guess, I'm looking at your geographic, I think you said, 46% was in Asia and I guess that's a reasonably strong for Asia. It sounds like you're not really seeing any particular slowing in your business there. Is that fair?
Andrei Elefant: Yes. In Asia we, in fact see nice pickup in the business. And in general we see some large opportunities there in Asia.
James Kisner: Is that also being driven by the security applications? Is there any kind of different mix in Asia versus other regions?
Andrei Elefant: Well, it depends on the country. The security applications is seen more on the developed country, while some of the monetization applications, we see that more on the developing country. And we see the same, it's also in Asia. This is again a very high level statement because there are some exceptions, but the general trend is this.
James Kisner: Thank you very much for answering my questions.
Andrei Elefant: Thank you, James.
Operator: Thank you. We'll take the next question from Matt Robison of Wunderlich. Please go ahead.
Matt Robison: Hey, thanks. Andrei, you talk about sales cycle taking longer, do you mean that in a context of third quarter and fourth quarter versus second quarter? Or do you mean that in a more historical perspective? So, maybe if you can go back over this. What the latest kind of development are in a tone of the business both in terms of deal size and sale cycles. And then I have got follow-up.
Andrei Elefant: We continue to see longer sale cycles, longer compared to last year. So, that's when the…
Matt Robison: So, they are stretching even from the June period, they got longer in the September quarter?
Andrei Elefant: I wouldn't say they have got longer. We still see that – it takes some time to – it takes longer to approve the budget and to approve FMPO [ph]. And again, it depends on the deal and then depends on the exact case. I mentioned in Q2 that we expected to see one of the larger deals earlier in the year. Eventually, we closed it, but again, it took us more than we expected. Even though we saw very nice improvement in bookings, there were still some deals that were pushed out into Q4. So, part of the reason why we started very nicely Q4 because of some deals that we started from Q3. So, I'm encouraged by Q3, because bookings continue on the right trend, but some of them slipped into Q4 and some of them we're already close at the beginning of Q4.
Matt Robison: So, with that strong start for the quarter should we expect continued improvement there, so another good cash flow this quarter?
Andrei Elefant: We don't know to say exactly where we'll land in each of the metrics. We can say only that on the bookings we started in a very positive way the quarter. This still works to translation some of these orders to revenues. So I think it's too early to give firm indications about development of each of the financial metric.
Matt Robison: Do you have any headcount changes in your efficiency measures?
Andrei Elefant: Overall, we haven't done a significant change in the number of employees, but the mixture is different and the investments that we're doing in certain areas grew significantly compared to some other areas. So we're moving resources. And also in terms of the cost of labor we are doing some optimizations there in terms of where we put the resources. But in terms of the overall headcounts there was non-significant change versus last quarter.
Matt Robison: Do you expect to have any headcount reduction?
Andrei Elefant: Looking at the development of the business we see that we're going back to growth. So, what we are trying to do is to keep on being efficient, but not to reduce any efforts in investing in the growth areas. So, the answer to that and assuming that the business continues to develop the way that we see today, we are not trying to do any significant reductions. Again, we are moving resources. We are optimizing the resources. But reduction in manpower, we are not planning for the near term.
Matt Robison: And this proof-of-concept you're doing with Checkpoint. Is there component to that involving subscriber management that you're doing or is it main thrust the virtualization?
Andrei Elefant: Actually, its both and some additional capabilities, integrating into mobile environment, in a nano-free environment there is integration with many components; the orchestration, the policy control, the charging, [Indiscernible] components. What we have done with the Service Gateway Virtual Edition is that we allow the operator to do that integration once and then on different type of services in that framework without the hassle or the efforts to do multiple integrations with multiple vendors. And to demonstrate the value of that we worked with Checkpoint where they're bringing the security as a service solutions and we enable it to be deployed very quickly and efficiently in a mobile environment, so we've delivered the subscriber management integration and the integration with orchestration and some other components.
Matt Robison: Thank you.
Andrei Elefant: Thank you, Matt.
Operator: Thank you. We'll take the next question from Tal Liani of Bank of America Merrill Lynch. Please go ahead. Please go ahead, Tal. Your line is open. Please ensure your mute function is switched off.
Tal Liani: Here we go. Can you hear me now?
Operator: Yes, we can.
Andrei Elefant: Yes. Hi, Tal.
Tal Liani: Sorry about that. There is a button called mute [Indiscernible 32:12]. I want to ask about 4Q, if I do that math you're expecting to grow 19% sequential in fourth quarter. And I'm wondering this is a very high growth. I know that 4Q is still up, but its very high growth. And I'm wondering if you can tell us a little bit about the visibility that you have into fourth quarter. I think one of the questions was kind of around it, but not exactly. The visibility you have into the fourth quarter and what give you the confidence in the numbers? And maybe also a little about the profile of the growth, kind of what's causing the growth next quarter and what kind of project is there? Thanks.
Andrei Elefant: As I've said in the previous statement we continue to provide the guidance we provided earlier in end of Q2 with an annual guidance of 100 to 105. We know that we need to demonstrate growth versus Q3. And as I said this is also based on the history of the company and the history of business. We usually see a Q4 stronger than Q3. We have the backlog building up back nicely. And after we loss some of the backlog in the first quarter and this gives us the good signs that we'll be able to meet the guidance. And to give the exact flavor of the naturals to growth in terms of type of services, I think it's too still early to provide us. I believe that we see a similar mix to what we saw in the last two quarter not something that is very, very different, but provide more accurate details on how it exactly will be structured. I think it's too early.
Tal Liani: Do you have visibility from the backlog and bookings you already had? Do you have visibility into the fourth quarter that is above normal visibility or below? I'm just trying to get the flavor of the weakness in revenue this quarter versus keeping the guidance, so that means now the fourth quarter implies first quarter growth is higher than we saw it before, so I'm trying to understand your visibility into the fourth quarter is also higher or that do you still need to get orders in the fourth quarter in order to make it. And again all but you start at the beginning of the year.
Andrei Elefant: Yes. When we provided the guidance we had certain visibility towards the beginning of Q3 and we definitely had better visibility into Q4 compared to the point where we were – when we provided the guidance. So far thing developed in the course of action that we anticipated and it looks like it continues on the right trend. We also said back then that Q3 is typically lower than Q4. So what we see now is what we expected and of course the visibility that we have for the rest of the year is greater than what we had when we provided the guidance. And we continue to keep the guidance that we provided. What I said is that giving exact color around the type of revenue and how exactly that would be structured, I think its still early, but the confidence of making the guidance of course given the time that pass than what we achieve so far increased.
Tal Liani: Next year, just if you without talking about the numbers but rather more about the trends. How do you think next year will shape from a product point of view? What are the areas that you think will accelerating growth and what are the areas that you think will decelerating growth? I'm trying to understand how it withstands the same time kind of next year and look back, what would be the difference in the demands of product between the years?
Andrei Elefant: I believe the value added services mainly in the categories of security and probably some of in the monetization will demonstrate a greater growth compared to the other sections. We'll probably see some growth on the analytics. There will be some areas that will be steady or even still decline and I'm referring more to the legacy business of traffic management. So solutions in those areas we see that there is kind of steady and in some cases decline of those types of services. But in the areas of monetization and security I believe that will grow our business in those areas. We are also doing investments in those areas. One of that was you saw with the press release today we have many other activities around that to bid ourselves better into next year.
Tal Liani: Great. Thank you.
Andrei Elefant: Thank you, Tal.
Operator: Thank you. We'll now move to Catharine Trebnick of Dougherty & Company. Please go ahead.
Catharine Trebnick: Yes. Thanks for taking my question. I have a couple, but the first one is just a housekeeping question. What did you say, how much of VAS bookings were there? Could you give me that number please?
Andrei Elefant: VAS booking, 38% of overall bookings.
Catharine Trebnick: And that's compared to what last year?
Shmuel Arvatz: It was 34% in the same quarter last year.
Catharine Trebnick: All right. Thanks. Shmuel, thank you. And the other question has to do with this going back to partnerships. I think its good that you guys are executing on these partnership. Now, one of the things I'm trying to figure out is the one with Checkpoint particular, could you describe like a basic use case with the mobile operators in the end the target segments that you really heading towards? That would be very helping in understanding it, because I'm trying to figure out on the mobile operators are you really looking as the end customers being consumers, so it’s a managed security service for consumer or are they looking to do something more on the enterprise level? So, if you can talk about the use case that would be helpful. Thank you.
Andrei Elefant: Okay. No problem. So, in general I think that security threats on the mobile side were not address so far properly and I believe that specifically security threats that you need to protect against them through different network solution, network base solution are not available in many cases. If you think about that most of the security solutions deployed in an enterprise environment are deployed on-premise, and once the employee leave the office and goes with his mobile phone into a mobile network unless there is -- traffic is redirected back to the office, there isn't any point in the network that will give the protection that is needed. We believe that mobile operators will play a key role in providing that additional protection element and they will do that by integrating different security solutions and services provided by some of the security players in the market. We saw Service Gateway Platform we can enable those mobile operators who easily integrate such product or solutions into their network and allow security services to be provided both to residential users and to business users. And we demonstrated that by doing that we saw Service Gateway, we saw own offering, because we have also some security products. However we do understand that in some cases there will be need for additional security offerings and therefore we are partnering with additional players in the market to provide a more complete ecosystem that will address again both the consumer market and of course the business customers which is natural target for some of these security vendors.
Catharine Trebnick: All right. Thank you. And then the last question is it looks like you really concentrating on these partnerships. Is that – are you ready to talk about growth potential from these partnerships that you doing with HP and Checkpoint?
Andrei Elefant: I believe it’s too early to talk about the exact revenues, but I think that continuing to in that direction, eventually it will result in revenues and additional bookings, because we will see some additional parts of the market that are not accessible to us at this point. Traditionally, we use to rely mainly in our sales team to bring most of the deals and part of our strategy to grow is to partner with bigger player that have greater reach and can bring us part of the deals. So I believe eventually it will translate additional business but it's too early to give exact indication.
Catharine Trebnick: So, would you say that even after the trials this is maybe six to nine months out and maybe the end of the year you'll be better prepared to give opportunity assessment?
Andrei Elefant: We will provide exact opportunity assessment and exact numbers regarding the potential. When we will feel that we have enough information and solid information to provide accurate numbers and we are -- in the past to achieve that. But again, it's too early to provide the exact numbers. I hope that in the time frame that you describe we would able to gain some visibility, but we don't have the exact time frame when we'll be able to provide that information.
Catharine Trebnick: All right. Thank you very much.
Andrei Elefant: Thank you, Catharine.
Operator: Thank you. We'll take the next question from Michael Leonard of Oppenheimer. Please go ahead.
Michael Leonard: Hey, guys. Thanks you. I want ask obviously pullback in OpEx the last couple of quarter and how should we think about OpEx and margins going if it grows back in the latter quarters in 2016?
Andrei Elefant: As I mentioned earlier some and Shmuel I think mentioned that as well. Some of the OpEx, the low OpEx is a result of the low revenues. And part of that result is contributed to some efficiencies there we made. I believe that the efficiencies we made will provide us greater leverage going forward; however given the revenues that we grow I believe that we’ll see some growth also in OpEx.
Michael Leonard: Okay. And last question, how should we think to the financial income line. Was this quarter kind of in aberration for the most part of hovering around the minus 150, 200?
Andrei Elefant: Yes, I think that the run rate of positive financial income as we had in the first and second quarter are representing the run rate we expect also in Q4 and going forward.
Michael Leonard: All right. Thanks guys, good luck.
Andrei Elefant: Thanks, Michael.